Operator: Ladies and gentlemen, thank you for standing by. My name is Desiree and I will be your conference operator today. At this time, I would like to welcome everyone to the Quanterix Corporation First Quarter 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] I would like to turn the call over to Joshua Young, Head of Investor Relations. You may begin.
Joshua Young: Thank you and good afternoon. With me on today's call are Masoud Toloue, Quanterix President and CEO; and Vandana Sriram, Quanterix Chief Financial Officer. Today's call is being recorded and a replay of the call will be available on the Investor section of our website. During the course of today's presentation, we will make forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act. These forward-looking statements are based on management's beliefs and assumptions as of today, May 12th, 2025. We may not actually achieve the plans, intentions, or expectations disclosed in our forward-looking statements. Forward-looking statements involve known and unknown risks, uncertainties, assumptions, and other factors that may cause our actual results, performance, or achievements to be materially different from any future results, performance, or achievements expressed or implied by the forward-looking statements. To supplement our financial statements presented on the GAAP basis, we have provided certain non-GAAP financial measures. These non-GAAP measures are used to evaluate our operating performance in a manner that allows for meaningful period-to-period comparison and analysis of trends in our business and our competitors. We believe that such measures are important in comparing current results with other periods’ results and assessing our operating performance within our industry. Non-GAAP financial information presented herein should be considered in conjunction with and not as a substitute for the financial information presented in accordance with GAAP. Investors are encouraged to review the reconciliation of these non-GAAP measures to their most directly comparable GAAP financial measures set forth in the presentation posted on our website and in our earnings release issued today. Finally, any percentage changes we discuss will be on a year-over-year basis unless otherwise noted. Now, I'd like to turn over to the call to Masoud Toloue. Masoud?
Masoud Toloue: Thank you, Joshua and good afternoon. First quarter results exceeded our expectations, highlighting the resilience of our instruments and consumables business and strengthening our confidence in the long-term growth potential. While the quarter was stable, we have revised our guidance more conservatively to account for the broader macro funding environment rather than any company-specific factors. I want to spend some time discussing our position in the market. Let's begin with the key fundamental. Demand for human health is not going away, and we're optimistic about delivering solutions to meet this demand. First, Quanterix's ultrasensitive protein detection platform is unmatched, empowering early disease detection, accelerating the development of new therapies through clinical trials, and enabling precise monitoring of neuro biomarkers in long-term studies. Second, we believe proteomics will be a cornerstone of non-invasive liquid biopsy solutions, offering real-time insight into human health and providing a dynamic view that complements genetic and methylation data. Third, we are building our leadership in neurology, applying the scientific and business expertise we've gained to expand our addressable market into immunology and oncology, areas where we are poised to lead in early biomarker detection. And finally, as long as people seek longer and healthier lives, the demand for high-sensitivity detection tools will remain and Quanterix is at the forefront with our customers, advancing the science to meet this enduring need. On to the quarter. In the first quarter, we reported revenue of $30.3 million. While this represents a decline of 5%, we recorded our highest consumables quarter and expect consumables performance to remain strong. Our adjusted gross margin was approximately 50% and our adjusted cash usage was $9 million in the quarter, representing a greater than 50% improvement versus last year. Vandana will describe this in more detail. However, I want to emphasize, we are committed to achieving positive cash flow in 2026 with a balance sheet well north of $100 million. Turning now to our pending merger with Akoya Biosciences. Nearly two weeks ago, we announced an amendment to our proposed transaction. I want to highlight some of the key financial details of this amended transaction. First, the equity value of the transaction is being reduced by 67% from $201 million to $66 million. The number of shares being issued is reduced by over 9 million shares, increasing Quanterix's shareholder ownership of the combined company from 70% to 84%. And we expect Akoya will contribute 37% to top line and 40% to Quanterix's gross profit dollars at 16% pro forma ownership. At the core of our strategic rationale for this transaction is the tremendous synergy for tracking protein biomarkers from tissue to blood. Diseases like cancer start in tissue and ultimately, leak into blood, causing morbidity. Enabling our customers to track cancer biomarkers such as ORF1p, which plays a critical role in both blood and tissue, will open new opportunities for Quanterix to expand its impact and accelerate our growth beyond what would be possible as a standalone entity. Customers and industry KOLs are excited about the potential of bringing technologies from Quanterix and Akoya together, and we have already begun considering matched tissue blood biomarker detection solutions. Now, an update on our strategic initiatives. Our first grow menu is already delivering results. In Q1, we launched four new immunology assays, building on the 20 new assays we introduced last year, which enabled us to achieve our highest consumables revenue quarter. Our continued investment in this powerful product development engine is paying off. We are expanding our assay portfolio to reinforce our leadership in neurology, adding inflammation biomarkers, and initiating development in oncology applications. With more than 1,000 instruments installed worldwide, each with significant throughput potential, we are committed to maximizing their value through the introduction of novel biomarker assays. Our second strategic focus is expanding into adjacencies, starting with the launch of Simoa ONE, an instrument and reagent platform on track for release by year-end. We expect this next-gen platform will break current sensitivity barriers, delivering up to 10x the sensitivity of our existing systems with expanded multiplexing of the 10-plex and improved specificity through code matched barcoding, all with an intuitive workflow. Simoa ONE will extend our category leadership and set a new standard for performance in the field. Our third area of focus is Alzheimer's diagnostics, where we're making rapid progress. Last year, we signed agreements with regional labs and hospital networks, generating $6 million in revenue. This quarter, we expanded our footprint through a new collaboration with ARUP Laboratories, a premier national lab. ARUP will now offer the pTau217 blood test for Alzheimer's disease using our platform and assay kit, leveraging antibody technology licensed from Eli Lilly and validated on samples from Lilly's Phase III TRAILBLAZER-ALZ 2 trial. This is a critical step toward building a global infrastructure for non-invasive Alzheimer's testing, a priority we will continue to advance throughout 2025. We also anticipate introducing pricing for our LucentAD Complete test later this summer, a multi-marker algorithm-driven Alzheimer's risk assessment tool. This test is currently progressing through four clinical trials with enrollment expected to complete by Q4 of this year. Now, a few final words on our current market environment and the three actions we are taking to succeed in it. First, as I said earlier, despite market headwinds around academic funding and biopharma spending, demand for human health in the near or long-term is not going away. And today, we're pleased to announce for the first time a new footing for Quanterix to deliver Simoa sensitivity at scale. In response to capital and resource constraints among academic and biopharma customers, we will democratize access to our technology. Starting in 2026 through an early access program, customers will be able to use unlocked Simoa ONE assay kits on over 20,000 existing flow cytometers worldwide, eliminating the need for a high capital instrument purchase. This is made possible by breakthrough reagent innovation. Digital ultrasensitive Simoa signal detection is now embedded in kinetic dye-encoded beads, enabling compatibility with a far broader installed base, one that is at least 20x greater than our own. This is a massive advance that we will make available after our Simoa ONE platform launch expected at the end of the year. Second, we are scaling the success we've established in neurology into adjacent fields, immunology and oncology through our grow menu initiative and the acquisition of Akoya Biosciences. Day one of the acquisition, our installed base increases by 1,300 instruments and our addressable market expands from $1 billion to $5 billion. Liquid biopsy is expected to eventually surpass the market size of all other diagnostic testing combined, and it has become abundantly clear proteins are the next frontier. Our ability to measure biomarkers across the tissue-to-blood continuum will accelerate the pace of novel diagnostic test. With this expanded footprint, we are executing a strategy grounded in scale and speed unlike other technologies that are still reliant on capital equipment sales in a risk-averse market. Third, we are operating with discipline and purpose. We are committed to achieving positive cash flow by 2026, supported by a balance sheet exceeding $100 million. Today, we are announcing a $30 million core operating cost reduction, scaling to $55 million annualized savings by 2026. These savings are driven by operational efficiencies and our expected synergies from the Akoya acquisition aligned with our stand-alone revenue forecast of $120 million to $130 million for 2025. Now, I'll turn the call over to Vandana.
Vandana Sriram: Thank you, Masoud and good afternoon. I will now go over our performance for the first quarter and provide an update for the full year 2025. Total revenue for the first quarter of 2025 was $30.3 million, a decrease of 5% compared to the prior year. Consumables revenue was $18.1 million, up 6% versus the previous year, driven by strong performance from products launched in the past 12 months. Instrument revenue was $2.6 million, up 3% year-over-year as we continue to see pressure on capital equipment. We placed 17 instruments in the quarter as compared to 16 instruments in the first quarter of 2024. Accelerator lab revenue was $5.6 million, a decrease of 36%, driven by a decline in large multimillion-dollar projects from pharma customers. In terms of revenue stratification, our customer mix for Q1 was approximately 50/50 between pharma and academia. Sales to our diagnostics partners totaled $1.6 million for the quarter. From a geographic perspective, our revenue growth was led by North America, which grew 3%. Europe declined 30%, primarily due to lower Accelerator revenues and the Asia-Pacific region was up 14%. Shifting to the rest of the P&L for the quarter. GAAP gross profit and margin were $16.4 million and 54.1%, respectively. Non-GAAP gross profit was $15.1 million and non-GAAP gross margin was 49.7%. The decrease of 150 basis points versus last year was primarily driven by a non-cash charge to inventory reserves. GAAP operating expenses for the quarter were $42.8 million, up $9.1 million; and non-GAAP operating expenses were $33.8 million, up $2.3 million over last year. Included in GAAP operating expenses are approximately $7 million of costs related to acquisition and integration expenses and shipping and handling costs. As we stated last quarter, we are making an update to the non-GAAP financial measures that we report on a quarterly basis. As we add acquisitions to our portfolio, we are adding adjusted EBITDA, adjusted EBITDA margin, and adjusted cash burn as new metrics. Please refer to our earnings release and the accompanying presentation for a definition of these metrics and accompanying reconciliations. Our adjusted EBITDA was a loss of $11.3 million in the first quarter of 2025 as compared to a loss of $8.1 million in the first quarter of the prior year. This EBITDA number includes investments in Simoa ONE and Alzheimer's diagnostics. We ended the first quarter of 2025 with $269.5 million of cash, cash equivalents, marketable securities, and restricted cash, down $22.2 million from last year. During the quarter, $13.2 million of cash was applied towards one-time items. We paid $9 million for the first tranche of the EMISSION acquisition and $4.2 million towards one-time expenses primarily related to the Akoya deal. Excluding these payments, adjusted cash burn during the quarter was $9 million compared to adjusted cash burn of $19.4 million in the prior year, a reduction of over 50% in our cash. I will now turn to our updated guidance for the full year 2025. We currently expect to report revenues in a range of $120 million to $130 million, which represents a revenue decline of 5% to 13% and excludes revenue from Lucent Diagnostics testing. As compared to our prior guide of 4% at the midpoint, we now expect a reduction of 9% at the midpoint. This includes approximately 600 basis points of incremental pressure from the current academic funding and tariff environment. As mentioned before, approximately 22% of our revenues are indexed to U.S. academic customers and we factored in a 10% or 250 basis point reduction earlier. We now estimate an additional 20% reduction in NIH funding levels, implying approximately 500 basis points of additional pressure. We have assumed 100 basis points of revenue pressure from tariffs. We have also factored in a total of 900 basis points of pressure from pharma versus 200 basis points in our prior guidance, primarily in our Accelerator lab. Last year, Accelerator grew 36% year-on-year. This year, while we see a healthy pipeline and better project diversity within that pipeline, we see some conservatism among our biopharma and biotech customers with some pushout of projects and smaller ticket sizes. We continue to see Accelerator as a key differentiator in our business model and believe that it's a matter of time before pharma uncertainty settles and this eventually returns as a driver of our growth. The second and third upside scenarios in our guide includes strong growth in our consumables business, driven by menu additions we saw last year and Lucent Diagnostics testing, which is currently not embedded in the guide. Moving on to gross margin for the year. We expect GAAP gross margin to be in the range of 55% to 59% and non-GAAP gross margin in the range of 50% to 54%, a reduction of 300 basis points from our prior guide. We expect that the impact of tariffs on incoming materials is limited to approximately 50 to 100 basis points of margin after factoring in countermeasures that we have already put in place. The remaining impact on gross margin is driven by the reduction in revenue, specifically in our high-margin Accelerator business and takes into account the cost actions in the future. These cost actions of $15 million in 2025 fully offset the impact of lower revenue and margin in the year. Quanterix's standalone cash usage for the year, therefore, is still expected to be between $35 million to $45 million from operations and $20 million for payments formation. As Masoud mentioned, we expect to close the Akoya transaction in the second quarter. At the end of the second quarter and after settling deal-related expenses and Akoya's debt, we now expect our cash balance to be approximately $160 million versus $155 million previously. We now expect the second EMISSION payment of $10 million to push into the second half of the year. This is partially offset by an additional $5 million of working capital spend in the second quarter, primarily related to bringing in second half inventory earlier than expected. Factoring in cash burn for the combined company in the second half as well as our recent cost reductions, we expect our cash balance will be approximately $120 million at the end of 2025. Finally, I'll provide some color on expected cash balances for 2026. We expect that the cost actions announced today will increase our total cost savings from $40 million to $55 million in 2026. After factoring in a lower revenue run rate from 2025 into 2026, we expect to achieve cash flow breakeven as a combined company in 2026, and we expect to have north of $100 million of cash on the balance sheet with no debt as we exit 2026. I will now turn it back over to Masoud.
Masoud Toloue: Thanks Vandana. Quanterix is committed to driving advancements in high-sensitivity protein detection and expanding into the critical therapeutic areas of neurology, oncology, and immunology. With our strategic initiatives, including the upcoming launch of our Simoa ONE platform and the Akoya Biosciences merger, we are well-positioned to lead the future of protein-based biomarker testing. Our focus on operational discipline and cost efficiencies will ensure sustainable growth with a clear path to positive cash flow by 2026. Operator, please assemble the Q&A roster.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from the line of Kyle Mikson with Canaccord. Your line is open.
Kyle Mikson: Hey guys. Thanks for the questions. Just first on the financials. So, Accelerator and consumables, I wanted to talk about that. I know Accelerator kind of soft this quarter. You expect to have a slow start this year given the projects kind of lower in the first half of the year or so. But how did that compare to your expectations, the Accelerator revenue number for the quarter? And then maybe just talk about the ramp, especially in the second half of the year. How should we think about that going forward? Really just want to understand if it's a key swing factor for the year. Secondly, on consumables, that was -- you said that was a record. Just was curious what assays drove that, in particular, if any legacy products are still representing a material portion of the revenue? Thanks.
Masoud Toloue: Kyle, I'll take the second part of that question and then Vandana can answer the Accelerator question. From a consumable business, we're thrilled with the record quarter on consumables. We continue to lead in neurology and the markers that we are delivering to our customers are markers that our customers have not been able to access before. So, we work with the leading innovators in the field. These super interesting markers come to us. We develop assays in our product development engine and we deliver them to customers. And so I would say it was the top neurology assays and we've been starting to see some good traction in the inflammation and cytokine-based assays that give us good confidence in continued growth of that business.
Vandana Sriram: Yes. Hey Kyle. On Accelerator, I'd say Q1 was very much aligned with our expectations. We have good visibility into Accelerator going into the quarter. We knew that we wouldn't have Lilly revenue. That's $1.5 million of headwind in Accelerator that we had planned for. So, Q1 was very much aligned with our expectations. But as we look forward to the pipeline, we saw that the pipeline was taking longer to develop. We've always described Accelerator as having about 50% pure recurring revenue and the rest of it coming from large projects. The recurring revenue piece of it is strong and is growing. On the project side, we're seeing a lot of good interest. We're seeing a lot of new customers coming and a lot of new areas such as immunology with our new cytokine offering. Having said that, we're not seeing the large ticket items that we had seen earlier in the last year when Accelerator grew about 36%. So, again, with the visibility we have right now and with what we can see in the pipeline right now, we're forecasting to that.
Kyle Mikson: Great. Thanks guys. And then on the Simoa ONE news, the update here, the kits will be compatible on flow cytometers kind of early on here. Just curious about what that really means for this year going forward, especially synergies? So, again, like maybe immunology-focused, but could this help you expand to maybe MRD applications in the hem/onc world, given that's like where Flow is kind of being used today in some cases? And then also, any synergies with the Akoya transaction, given there's definitely overlaps in Akoya's customer base and the Flow users as well?
Masoud Toloue: Thanks for the question, Kyle. Absolutely. When we look at the platforms in the market, you look at a broad-based ubiquitous platform like PCR. And then you think of all the reagents that various companies make for the PCR platform and also sequencing, you look at flow cytometry and you say, hey, this is an existing massive base in a wide diversity of labs, to your point, in immunology, in oncology. And by utilizing that base, we'll be able to accelerate our menu development into these customers' hands. So, in an environment where there are capital constraints, we're meeting the customers where they are and delivering the solution and we think it's going to be super effective. It's going to have high synergy impact in our combination with Akoya Biosciences, where we'll have a footprint in oncology there. We're going to have the immunology markers coming in flowing through the flow cytometer, no pun intended, and we're excited about that possibility.
Kyle Mikson: Thanks. And quickly just on may be pricing, if you get that in 3Q, just wondering when the testing like revenue would inflect if that's going to happen maybe before mid-next year, mid-2026, if possible. And just remind us the level of pricing you expect to receive and which test that would be for multi-marker, et cetera? Thanks.
Masoud Toloue: Yes, the pricing we're expected to receive on the PLA would be multi-marker. Obviously, we want to high triple-digits on reimbursement and reimbursement would begin in the early part of 2026.
Kyle Mikson: Okay, I'll leave it there. Thanks guys. Appreciate it.
Masoud Toloue: Thanks Kyle.
Operator: Our next question comes from the line of Matt Sykes with Goldman Sachs. Your line is open.
Unidentified Analyst: Hi. This is Jake on for Matt. Thank you for taking my question. One thing I wanted to dig a little bit more into is on like exactly what you're seeing throughout the U.S. academic end market? And is weakness kind of isolated to strictly instrument purchases on a go-forward basis, given the strength we saw in consumables this quarter? And then my follow-up, I'll just ask both upfront. One, can you update us on your FDA submission time line, particularly like how long from submission to approval? And should a competitor receive FDA approval in 2025, how can you counteract the potential first-mover advantage there? Great. Thank you.
Masoud Toloue: Thanks Jake. I'm going to take the -- your question on the -- on Alzheimer's testing, and then I'll let Vandana talk a little bit about -- give some color on academia and the market. So, on the Alzheimer's diagnostic front, we're super excited about our test. It's the multi-marker algorithmic test. This is a market-differentiating test. We continue to invest in both identifying big partners to give them access to the test, the partners with large distribution networks and then building the infrastructure from our own lab. So, we intend to complete enrollment of the clinical trials in the back half of the year. And as we complete those trials, we'll be submitting our FDA application. When I look at the sort of near-term and long-term for Alzheimer's-based testing, I think a big part of this market is laboratory developed testing. And in an algorithmic approach, there's probably going to be some level of laboratory developed tests that are in the market. And an FDA-approved test is obviously going to help, but I don't think it's going to be one FDA test and that's it or LDT test, and that's it. I think there's going to be some sort of combination of offerings in the market and we're working hard to make sure that our FDA test comes through. And then at a very high level on the academia before Vandana provide some color, you mentioned the consumables business. Absolutely. We have over 1,000 instrument fleet of platforms in the market. And if you look at each of the HD-X platforms in our own Accelerator lab, they generate approximately $1 million each and that's a high throughput instrument. So, when we look at our strategic initiatives, the one core thing that we do day and night is build and expand that menu for our customers. And that menu tends to be, as I mentioned on Kyle's question, the latest in neurology, it's going to have the latest in immunology and very exciting markers as we see synergies between Akoya and Quanterix related to oncology.
Vandana Sriram: Yes. And just to build on that, to your question, we're definitely seeing pressure on instruments, but that's where our consumables have proven to be incredibly resilient and really have kind of been balancing out the model with the recurring revenue as well as with the new assays that we've launched. With that said, we are hearing the same concerns that everybody else is around the funding environment and the ability to get additional funding and grants approved. As we look at the data for the first quarter, we saw the same data that everybody else did where cumulative award values are down almost 40%. The proposal for a 40% reduction in 2026 is on the table right now. We assumed that the 40% scenario does not work, but we did also acknowledge that just a 10% cut year-over-year is probably not sufficient either. And that's how we framed that as well.
Operator: Our next question comes from the line of Sung Ji Nam with Scotiabank. Your line is open.
Sung Ji Nam: Hi, thanks for taking the questions. Maybe starting out with the Simoa ONE assays that will be available for other existing flow cytometers. This might be a high-cost problem, but just kind of curious if there are -- there will be advantages of using your Simoa ONE platform versus other flow cytometers with the Simoa assays?
Masoud Toloue: Yes, Sung Ji, you got it. You nailed it. Yes. The platform that we're going to launch at the end of the year is going to be a fully integrated full instrument assay solution. And as you can imagine, in fully integrated solution, the platform is going to have the greatest specs and it's going to outperform sort of other solutions. And as the technology advances, and there are future iterations of the platform, it's going to become even more sophisticated. Simoa ONE was an intentional naming and we expect the fully integrated solution to be an important solution for a lot of customers, both in research and then those that are working in regulatory environments, doing longitudinal projects, et cetera.
Sung Ji Nam: Got it. And then you mentioned that the Accelerator lab, the pipeline is taking longer to develop. Just was wondering if I could probe a little further and if you might be able to comment on kind of what's driving that? Is that -- do you think -- is it largely kind of the tariffs and the pharma tariffs and even the most favored nation pricing concerns that are going on among your customer base? Or do you think it's just kind of reprioritization of some of the projects maybe in the near-term? Kind of what do you think are the key drivers of the pipeline taking longer to develop?
Masoud Toloue: Yes, Sung Ji, I'll take that one. The -- our Accelerator customers are incredibly sticky and incredibly loyal to the business. We deliver good results and they love those results. So, I would say the customer stickiness is there. The customer diversity versus last year is even better. So, we're seeing quite a bunch of new customers coming in this year versus last year. And they begin with -- some of the new customers begin with pilot projects that expand to preclinical work to Phase I and other programs. So, we feel good about that, and we think that pipeline is healthy. On the short-term, I think there's just some pharma spending dynamics in the field. You mentioned a few of them. And folks are mainly pushing out projects that we would expect to have gotten in the early half of the year to second half or beyond. So, it's not that the projects are disappearing, but we're seeing some level of pushout of larger projects that we have anticipated at the beginning of the first half. But overall, 36% growth last year, it was a big pillar of our ability to differentiate in the market. And we think that this comes back to growth and it continues to be a driver for the business.
Sung Ji Nam: Got it. And then if I could ask a quick one for Vandana, thank you so much for breaking out the tariff impact. If you -- I was wondering if you might be able to give us a sense of what your supply chain exposure looks like, where the kind of the biggest drivers of that tariff impact will be coming from? And then are you guys also factoring in the announcement today on the China tariffs, China between -- the tariffs between U.S. and China today? Thank you.
Vandana Sriram: Yes. Thanks for the question, Sung Ji. Let me talk about the cost first and then I'll talk about the revenue impact. So, in terms of incoming cost, our exposure is primarily around certain antibodies. And as you know, our HD-X machine is made in Switzerland. So, through this first quarter, early second quarter process, we already took a handful of countermeasures to make sure inventory was in the right spot and where we needed it to be to minimize the impact of the tariffs. With all those moves, we expect that the impact of tariffs on margins is probably limited to 50 to 100 basis points and not more than that. In terms of potential reciprocal tariffs, we had actually factored in the China -- we had assumed that China would come back to slightly normal levels. We've baked in some pressure on instruments, knowing that passing on instrument-related tariffs is going to be relatively difficult. But we assume that in total, when you take instruments and certain consumables that may be harder than others, the total impact of the reciprocal tariff should not be more than maybe 100 basis points or so of growth.
Sung Ji Nam: Got it. Thank you so much.
Operator: Next question comes from the line of Puneet Souda with Leerink Partners. Your line is open.
Puneet Souda: Yes, hi guys. Thanks for the questions here. So, maybe the first one on the guide at the midpoint. For the year, can you walk us through your assumptions for instrumentation, the consumables, and the Accelerator? The Accelerator obviously came in soft. Just want to understand sort of how are you thinking about growth in each of those? I mean when you look at the end market today, obviously, biotech funding is challenged. I mean large pharma, you've got MFN, you have -- I mean, most favored nation. You've got tariffs still around the corner. Pharma, it is hard to spend aggressively in times like these. So, just given all that backdrop and then academics, as you know, already challenges there. So, just trying to understand what gives you confidence in this guide? And maybe if you can go into the segments?
Vandana Sriram: Yes. Sure, I'll take that, Puneet. So, maybe starting at the top, instruments and consumables. Instruments, as you mentioned, still a lot of headwinds in the market. So we expect instruments to be largely the same as what we saw in 2024. 2024 was a step down for us, and we'd expect instruments to be largely consumables is really where our recurring revenue comes in. Consumables grew this quarter, and our expectation is that we should see some nice -- maybe not as much as we wanted, but we'll still see some level of stickiness because of the nature of the recurring revenue. And then on the Accelerator side, the portion of Accelerator that is a little more run rate recurring will continue to hold and will continue to be steady. But that's really where you will see the most drop on a year-over-year basis. We had already quantified the impact of the Lilly collaboration coming to an end. That's a fairly significant number. And then in addition to that, the slowness of the pipeline and all the points you made on the pharma spending are the remainder of the difference.
Puneet Souda: Okay, got it. And then just on 2Q, I didn't hear on the revenue or the margin side. How are you thinking about the second quarter, just given you have some read into that as to how that's playing out?
Vandana Sriram: Yes, sure. So, our expectation for the first half versus second half is somewhat consistent with what our history has been in the past. And we've generally done between 45% and 48% of our total year revenue in the first half. Our expectation would be somewhat similar this year as well, where 45% to 48% in the first half and then the second half picks up just a little bit.
Puneet Souda: Okay, that's helpful. And then if I could ask on the Simoa ONE, would you expect your customers to pause the HD-X purchases or other instrument purchases? And then ultimately, how should we think about the Simoa ONE itself versus flow cytometers that are out there? Do you expect to be to -- do you expect to have higher consumables mix in 2026, just given the installed base there and potentially migrating to those as much as you can with your assays?
Masoud Toloue: Yes Puneet. The -- on the HD-Xs, HD-X continues to be a workhorse for Quanterix. And so you got to imagine HD-X, blood sample in, result out in neurology, it's unmatched from a platform perspective. And we expect that business to continue and continue uninterrupted. The Simoa platform on launch is going to be an immunology/oncology initially marker offering. So, we don't expect there to be any level of cannibalization on the system. And then to your second point on the expansion into this 20,000-plus installed base, we think our margins in consumables are very attractive. And in a market constrained environment where folks are unclear how long it will be capital-constrained. We're putting together a solution to this market. And we're -- as I said in the prior question, meeting researchers where they are. And we think this is going to be well-received. You're doing a consumable purchase as opposed to a high CapEx instrument. And similar to what we did last year, where we took revenues in a capital-constrained environment and we move into Accelerator, what we're doing here is pretty big and enabling a broad-based usage of our ultrasensitive biomarker detection.
Puneet Souda: Got it. And then last one, if I could just squeeze one last one in. Around LucentDx and Alzheimer's, what is your expectation this year for contribution from that? And I'm wondering if you can start to -- are you starting to look at 2026? What could be the contribution there? Because I think the key question here is that some of the start-up platforms like the mass spec platforms have gained meaningful adoption, but you have other larger companies that are large caps or mega caps that are in the space that are investing in this space. So, how are you thinking about your position with the assay and where you stand today and your expectations this year? Thank you.
Masoud Toloue: Yes, absolutely. This is going to be a large market, right? We're talking about a $9 billion to $10 billion blood testing market in the future. And the offering that we have is unmatched. LucentAD complete, that combines not only just 217, but adds four more markers to it. And we have an algorithm where we're able to deliver 90% accuracy while reducing intermediate zone to around 10%, 12%. No other test performs with those features. You have intermediate zones that are 20% to 30% in the field. And I think when customers look at the ability to reduce follow-on PET to reduce follow-on expense and testing, that's going to be favored by patients, payers and physicians. And we have a great deal of confidence that Quanterix is going to be playing a major role in the market of testing. And then on the -- your other question on the availability of the test vis-à-vis some other providers, look, I think we're working very hard to build a distribution collaborations. We announced the big one today on the call. We're going to continue to do that and make sure that our customers and service providers around the world will be able to offer our testing. And at the same time, we're going to be working hard to build that infrastructure in our laboratory with our fleet of systems and instruments and get it out into the field. From a revenue contribution, Puneet, I think we did $6 million. Vandana mentioned, we did $1.5 million this quarter. And I think part of it is gated on how fast there's therapy adoption and drug adoption in the market. And for -- as soon as there is demand and need, we have a commercial infrastructure that we're building that's out in the field. We're continuing to invest in Alzheimer's diagnostics. We're not putting our foot off of the gas pedal there. We're investing even more for this really sizable opportunity. So, I think we've got the best test. We've got a great infrastructure. We've got great partners, and we're ready to support the field.
Puneet Souda: And should we run rate that for the rest of the year, $1.5 million?
Vandana Sriram: Yes. Actually too soon to say the year as you saw last year, it was a little bit lumpy, but now there is a steady flow.
Puneet Souda: Okay, all right. Thank you.
Operator: [Operator Instructions] And we have a question from Dan Brennan with TD Cowen. Your line is open.
Dan Brennan: Great. Thank you. Thanks for taking the questions. Congrats on the quarter. Maybe just on the cash flow side, you talked about the levels this year and next year. Can you just discuss some of the puts and takes for next year, kind of what goes into the assumption? Any high-level comments there? And then also, what's the latest thinking about Akoya's cash burn for 2026, if you could share that?
Vandana Sriram: Yes. So, I can start with that. So, as we look forward into 2026, we've taken into account the changes that we announced today in terms of our revenue guidance, et cetera. Without kind of -- I don't necessarily want to guide for Akoya just yet, but we've taken into account a fairly prudent assumption on Akoya revenue as well. And then when you put the two businesses together, we also then factor in the synergies that we expect to realize. We've talked previously about $40 million of synergies. Against that, with the cost actions that we're taking today, we believe that number will really be more like $55 million. So, that's really what moves our cash burn and really gives us the scale that we were looking for with this acquisition. We built ourselves for scale when we did our transformation a couple of years ago. So, we have the capacity and we have the bandwidth to be able to take on that volume and realize those synergies. So, the way we built our cash basically was in 2025, we expect to complete the deal, pay down the debt and start to kind of moderate the cash burn immediately. And then in 2026, we see the full value of all of the synergies come through.
Dan Brennan: Got it, okay. Maybe just on the LucentAD, the triple-digit price, what's kind of the visibility on that? Can you just remind us on kind of how you get there? Obviously, the single analyte price was disappointing the way it was priced, I'm just wondering on the triple-digit price.
Masoud Toloue: Yes. Yes. So, the way we think about this, this is a five marker test, Dan. So, five markers, we have an Alzheimer's algorithm that takes each of the five markers, quantitates it through the algorithm and then provides an Alzheimer's risk score. So, when you look at comparable tests in the market, proteomic tests in the market that are four, five markers, you see sort of the price level that I'm referencing. So, it's very different than single marker tests that got priced in the past. And we anticipate this to be a summer pricing and hopefully, with favorable pricing, be able to offer that at the beginning of 2026.
Dan Brennan: Great. And then maybe just one more on the Accelerator. I know there's a few questions asked already. But just in terms of that, you talked about the percentage of the business that isn't recurring, maybe it's like lumpier, bigger contracts. Just what have you baked in, in the back half guide for that? Just I know it was mentioned earlier in a few questions, just given the uncertainty on pharma spending right now. I wonder if you've kind of taken a real conservative stance there?
Vandana Sriram: Yes. So, over there, we've mentioned that on the overall pharma side, we've baked in about 900 basis points of reduction year-over-year. The large majority of that will hit at Accelerator, again, $4.5 million coming straight from Lilly and then the remainder coming from the fact that we don't have visibility right now into those large projects. The pipeline is there. We don't have good line of sight into exactly when that develops and when that really starts to hit.
Dan Brennan: Got it. Okay. Okay. Final one, Simoa ONE, just kind of when that's in the market, kind of what's your feedback now in terms of sales funnel, things of that nature? How do you think about the contribution that you could see from that, say, in year one?
Masoud Toloue: Yes. Simoa ONE, when we are looking at the platform, there's excitement on the ability to go even higher sensitivity. I think we have customers that use us on a regular basis, Dan, and say, hey, what about -- you gave us early, what about single molecules that are going from tissue to blood? When can we even detect that earlier? And so that was like sort of the conception of Simoa ONE, our ability to increase multiplexing to a level that is going to be important for proteomics and testing, which up to 10 markers is very relevant from a testing and diagnostics perspective. And then our ability to just do a very efficient workflow and what we've already delivered on our platforms and having something that's simple and easy to use was important from our customers. We have been talking to folks in the immunology field. We're super excited about this. And I think by the end of the year, we'll be able to talk a little bit more about the features and the system and hopefully have customers that are ready to go. And then as I mentioned, we got a program in 2026, where we're going to do a much broader democratization and that has implications for something that's much grander or wider than we've been talking about here from instrument to instrument purchases.
Dan Brennan: Okay, terrific. All right. Well, thank you very much.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you all for joining and participating today. You may now disconnect.